Executives: Stamatis Tsantanis - Chairman and CEO
Operator: Thank you for standing-by ladies and gentlemen and welcome to the Seanergy Maritime Conference Call on the Nine Months 2014 Financial Results. We have with us Mr. Stamatis Tsantanis, Chief Executive Officer of the Company. At this time, all participants are on a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions) I must advise you this conference is being recorded today. Please be reminded that the Company publicly released its financial results, which are available to download on the Seanergy Web site at seanergymaritime.com. If you do not have a copy of the press release, you may contact Capital Link at 212-661-7566 and they will be happy to send it to you. Before turning the call over to Mr. Tsantanis, we would like to remind you that this conference call contains forward-looking statements as defined in Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended, concerning future events and the Company’s growth strategy and measures to implement such strategy. Words such as expects, intends, plans, believes, anticipates, hopes, estimates and variations of such words and similar expressions are intended to identify forward-looking statements. These statements involve known and unknown risks and are based upon a number of assumptions and estimates, which are inherently subject to significant uncertainties and contingencies, many of which are beyond the control of the Company. Actual results may differ materially from those expressed or implied by such forward-looking statements. Factors that could cause actual results to differ materially include, but are not limited to, competitive factors in the market in which the Company operates, risks associated with operations outside the United States, change in rules and regulations applicable to the shipping industry, and other risk factors included from time-to-time in the Company’s annual report on Form 20-F and other filings with the Securities and Exchange Commission, the SEC. The Company’s filings can be obtained free of charge on the SEC’s Web site at www.sec.gov. The Company expressly disclaims any obligations or undertaking to release publicly any updates or revisions to any forward-looking statements contained herein, to reflect any change in the Company’s expectations with respect thereto or any change in events, conditions or circumstances on which any statement is based. And now I pass the floor to Mr. Tsantanis. Please go ahead sir.
Stamatis Tsantanis: Thank you, Operator. Good morning everyone and thank you for joining our call. Today, I will discuss our recent quarter developments and then I will go briefly over our financial results for the nine-months ended September 30, 2014. As we have stated in March of 2014, we successfully completed a landmark financial restructuring that released the Company from a total of 346 million of debt liabilities and all associated guarantees. This was achieved without having to resolve to court protection, diluting our shareholders, or losing our listing on NASDAQ. Since then, our efforts were focused on rebuilding Seaenergy’s fleet, so we can initiate the positive customer generation that will deliver value to our shareholders. The initial logical step back in April of 2014 was to agree with certain of our major shareholders to contribute four modern Capesize vessels for the Company. Although some of the necessary conditions were met, the significant deterioration of the asset values over the last six months necessitated that it would be to the best interest of all our shareholders to reevaluate certain terms of the initial agreement. For that reason, the closing of the deal has been deferred to a later time in 2015 and we extended the ultimate closing date to June 30, 2015. Continued discussions with the sellers can lead to further changes in transactions. As a very positive move in deteriorating dry bulk market environment, we decided to proceed with a second half vessel purchase. In particular, over the past few months, we have been consciously monitoring the weakening of the asset values and actively searching for an accretive Capesize acquisition. As a result of our endeavors, we are pleased to announce that we entered in an agreement with an unaffiliated third-party for the acquisition of the quality Capesize vessel. The ship was built at a renowned Japanese shipyard in 2001 and is expected to be delivered to the Company between March and April of 2015. The gross purchase price of the vessel, which is 17.3 million, will be funded by senior secured bank debt, as well as financing by one of the Company’s major shareholders. Seizing the opportunity, I would like to highlight the continued support by our major shareholders. More specifically, several of the Company’s major shareholders made an equity contribution of 0.96 million in June of 2014 in order to support the Company’s equity for the period ended September 30. In addition, one of our major shareholders contributed another 1.1 million in December of 2014, and those in December the same major shareholders, showed its commitment to Seaenergy’s business plan by agreeing to provide financing in an aggregate amount of 8.5 million for the purpose of partly funding the acquisition of the Capesize vessel. We believe all the above actions are a strong vote of confidence in the Company’s strategy and long-term growth prospects by our major shareholders. Turning to our medium-term business plan with a clean balance-sheet and no contingencies of any sort, we are seeking to rebuild our fleet by acquiring vessels close to their historical lows. Given that the large portion of the overall returns in shipping relate to the timing and purchase of asset acquisitions, Seanergy represents today a unique platform and opportunity for growth in the dry bulk space. Therefore, we believe that we are uniquely positioned to deliver strong value to our current and new shareholders by investing with historically low capital cost as a result of significantly reduced cash flow breakevens. We will now briefly go over our financial results for the nine months ended September 30, 2014. Our net revenues were 2 million, down 88%, compared with same period last year. The decrease reflects operation of the smaller fleet as a result of our restructuring. Net income for the nine months of 2014 increased to 81.6 million, or $6.46 per share, up from a net income of 3.4 million or $0.29 per share in the first nine months of 2013. The significant increase in our profitability is attributed to the net gain of 85.4 million that was realized on the sale of our remaining vessels during the first quarter 2014. As of the end of the third quarter of 2014, our shareholder equity amounted to 2.8 million, while there was zero debt outstanding. Turning to general market conditions, despite the recent knockdown in the dry bulk freight market, nothing has changed regarding our outlook for the industry. And we remain optimistic about the long-term fundamentals of especially the Capesize sector. In support of the above outlook over the last days, the industry has shown some signs of recovery with the Capesize freight market having increased by more than 44%. In addition, we believe that the supply of Capesize vessels thus moderate and demand for coal dry bulk cargos continue to growth, freight rates are likely to stabilize at substantially higher levels than the current ones. Finally, I would like to reiterate that vessel acquisitions at historically low prices, along with proven management expertise will allow Seanergy to deliver strong returns throughout the shipping cycles in the future. Thank you for listening to our call and I will now pass the call back to the operator. Thank you.
Operator: Thank you very much. That does conclude our conference for today. Thank you for participating. You may all disconnect. [No Q&A session for this event]
Question-and:
End of Q&A: